Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for joining the Zalando SE publication of the Q1 Results 2023. Throughout today's recorded presentation, all participants will be in a listen-only mode. There will be a question-and-answer session. [Operator Instructions] And I would now like to turn the conference over to Patrick. Please go ahead.
Patrick Kofler: Good morning, and welcome to our Q1 2023 earnings call. Today, I'm joined by our CFO, Sandra Dembeck. Sandra will briefly walk you through the financial developments of the quarter and is available for questions afterwards. As usual, this call is being recorded and the live webcast as well as the replay of the call will be available on our Investor Relations web page later today. Sandra, I will now hand it over to you. Please go ahead.
Sandra Dembeck: Thanks, Patrick. Good morning, and hello, everyone. Thanks for joining today's call. As always, let's start with a short summary. As anticipated, the macro situation of Q4 continued into Q1. We saw inflationary headwinds and continued pressure on discretionary spend. Clearance across the industry remained at elevated levels and normalization of e-commerce adoption continued. Against this backdrop, with our focus on profitable growth, we are reporting a solid first quarter. We delivered modest GMV growth and significant year-over-year improvement in our adjusted EBIT. And at the same time, our business model continues to prove strong resilience supported by our broader platform strategy. Our Partner Business continued its strong performance, increasing its share by 8 percentage points year-over-year to 39% and this was supported by an increased adoption of Zalando Fulfillment Solutions. Another example is our balanced and diversified business mix. It allowed us to leverage our Lounge by Zalando proposition to fuel growth and to clear excess inventory. So 2023 remains a year of transition and our ambition for this year is to deliver profitable growth and to continue selective investments through the cycle. And with that, we remain committed to deliver on fuel growth and to clear excess inventory. So 2023 remains a year of transition and our ambition for this year is to deliver profitable growth and to continue selective investments through the cycle. And with that, we remain committed to deliver on this ambition, and we confirm our full-year guidance for 2023. So let's talk about the Q1 performance in a bit more detail. Starting off with the group figures on page four. I already said like we delivered a solid first quarter. Top line growth was modest. GMV grew by 2.8% to over EUR3.2 billion, and we delivered revenue growth of 2.3%. With our focus on profitable growth, we significantly improved our profitability and our adjusted EBIT came in at breakeven. This is reflecting a year-over-year improvement of EUR51 million or 230 bps in margin. And this was largely the result of fulfillment cost efficiencies driven by improved order economics. With this set of results, we continue on our journey to deliver GMV growth and improve profitability in 2023. Let's turn to our customer metrics on page five, starting on the left. Our active customer base stands at 51.2 million. This is close to 5% more customers, compared to the first quarter last year, and it is flat versus the fourth quarter of 2022. We see resilience in our retained customer base, and we continue to focus our customer acquisition efforts on profitable growth. Looking at the right-hand side, consumer discretionary income remains under pressure. And despite this, we see fairly stable customer metrics on a trailing 12-month basis. While order frequency continues to show a slight decline from 5.2 to 5.1, GMV per active customer remains resilient at EUR291 and this is driven by an increase in average basket price as a result of a higher average item value. Let's turn to page six, our segment performance and starting with the top line performance. And here, I'll walk you through the chart from left to right. Starting off with Fashion Store. Fashion Store GMV developed flat, while revenues were down 3.5% as the Partner Business share continued to increase. In DACH, we recorded negative 5.7% revenue growth. Performance was particularly impacted by continued weak consumer confidence, inflationary pressure weighing on consumer wallet and the ongoing normalization of e-commerce adoption. Rest of Europe, here, the revenue slightly decreased by 1.8%, and we saw continued solid performance in Eastern Europe, including our 8 new markets launched in 2021 and 2022. Moving on to the Offprice segment. The Offprice segment showed an extraordinary strong performance with revenue growth of 32.9%. With our Lounge by Zalando proposition, we successfully captured the demand in the market and also supported the clearance of our stock from our Fashion Store. This dynamic clearly underlines the strength of Zalando’s business mix, where our Offprice segment is partly offsetting the temporarily subdued environment for full price sales. And last, in the all other segments, revenue grew by 4.8% and as a result of the inclusion of hypermobility and the performance of Zalando Marketing Services. Moving on to page seven, segment profitability. In the first quarter, profitability increased significantly in both segments, Fashion Store and Offprice. So our continued efforts and focus on profitable growth are really paying off. Coming into the Fashion Store, DACH and Rest of Europe, saw a similar margin recovery. Offprice delivered a profit margin of 5.9%, so that's a strong increase over last year. The increased scale drives leverage across various cost lines. And in addition, gross margin improved modestly year-over-year. And lastly, all other segments, they delivered adjusted EBIT near breakeven in line with last year. Let's now move on to the P&L on page eight. You can see that our gross margin declined year-over-year by 0.8 percentage points. This was expected. This is the result of the remaining four winter clearance activities. And in addition, also a delayed spring summer season start. So we had a delayed start to the full price sales. Our Partner Business remains to be gross margin accretive, and that's despite the strong growth that we experienced in ZFS, which comes at a significantly lower gross margin. Fulfillment costs decreased by 3.1 percentage points, and this is thanks to our continued efforts to improve order economics and to drive sustainable efficiencies to offset the inflationary cost increases. And in addition, we are, of course, also benefiting from scaling our partner sales. Marketing costs improved by 0.4 percentage points. This is due to the increased scale of our Offprice business, which operates at a lower marketing cost ratio. In admin costs, they increased by 0.8 percentage points. That's driven by inflationary cost increases higher share-based compensation and the inclusion of hypermobility. To summarize the P&L, we significantly improved our profitability year-over-year as a result of our continued drive for sustainable efficiencies, particularly in fulfillment costs. And with that, we more than offset the necessary investments in gross margin to clear the remaining overstock. So let's move on to net working capital and inventory on page nine. In Q1, net working capital was neutral. Looking at the year-over-year development, we see a cash inflow of around EUR150 million. And this development is primarily driven by the continued strong growth in our Partner Business, which is reflected in the relatively larger increase in the trade payables on the right-hand side. Let's turn to inventory. Our overall inventory position is around EUR2 billion. So it's up 5% versus last year. When looking at the inventory in the Fashion Store, here, the inventory actually is down year-over-year. And this is a result of our prudent approach to hotel buying and our continued focus on effective inventory clearance. So a bit more information here. So our full winter 2022 overstock ratio, yes, which shows the effective inventory clearance, is now at pre-COVID levels. And our 2023 wholesale buy are all in line with our top line guidance. Fashion Store being in a good inventory position. The year-over-year increase in inventory is coming from Offprice. And we already mentioned that when we presented you the full year. Here in the fourth quarter, we leveraged the opportunity to purchase quality stock to support the increased demand in our price channel. So while our inventory overall is up by 5%, we are in a really good inventory position. Turning to cash on page 10. Our cash and cash equivalents remain strong at about EUR1.8 billion. And this is almost EUR200 million better than last year, coming from a higher operating cash flow, primarily the result of improved net working capital. And compared to Q4 2022, we recorded a decrease of EUR240 million, which is primarily due to the seasonal net working capital changes as we inbounded inventory for the spring/summer season. On CapEx, cash CapEx amounted to EUR38 million as we continue to invest through the cycle in key capabilities like logistics. So with that, I conclude the financial update for Q1. We all delivered -- so all in all, we delivered a solid first quarter. So let's move on to the outlook. So first on page 12, a quick recap of what we presented to you in March. We were talking about our two main ambitions for 2023, which are profitable growth and continued selective investments through the cycle for future growth. We also presented three objectives. And so let's check in on the progress along our three objectives. The first objective is to strengthen gross margin. Here, we remain committed to show year-over-year gross margin improvement for the full-year. Already, last time we mentioned that we increased flexibility in our wholesale buy and that we are very effective in our overstock clearance. We also talked about the changes to our partner commission table. Besides this, we are working very hard on adding new brands and relevant assortment to increase customer engagement towards full price sales. For example, we recently launched an exclusive Paco Rabanne collection, and we see positive impact from our creative product drops. The second objective is to simplify organization for speed of execution. And in this context, in February, we announced the program to reshape our organization. The consultation with the works council are ongoing, and we will provide more details about the program once this has concluded. And last but not least, we continue to selectively invest in future growth by staying disciplined on our CapEx spend. So in Q1. With the rebranding of Lounge by Zalando, we delivered an enhanced on-site experience for our shopping club members. And we continue with our new multichannel fulfillment solution, which has gone live with more partners in the first quarter. So we are progressing well along our three key objectives, and we stay committed to deliver on our 2023 ambition. So let's talk about our full year guidance on page 13. As already mentioned earlier, we confirm our guidance for the financial year 2023. Q2, Q2 has started slower, and we do not foresee any significant improvement in the macro situation. Because of that, our focus in Q2 remains on delivering improved profitability versus last year. So this concludes the outlook. And before we jump into Q&A, let me just wrap up with the key takeaways of today. So we delivered a solid first quarter, and this reflects our continued focus on profitable growth. Financial discipline remains a key priority for us. Our platform strategy and business mix prove successful, and we benefit from it with continued strong performance of our Partner Business and our Lounge by Zalando proposition. And besides the financial performance, the strategic progress around our two main ambitions for 2023 makes us confident for the remainder of the year. And with that, we reiterate our full year guidance for 2023. So let's now open up for Q&A.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] And our first question is from the line of Nicolas Katsapas from BNP Paribas Exane. Please go ahead.
Nicolas Katsapas: Hi, thank you for taking my questions. I have two, please. The first question is just on the comment that you gave on current trading in Q2. You said that Q2 started slower. Do you mean slower than the growth you saw in Q1? And then within that, are there any trends that you could see improving the Q2 growth rates, the timing of each or whether improving in any of your regions? And then the second question is around the balance of growth in your business segments. It looks quite clearly that the Offprice channel grew faster than the rest of the group. But gross margins didn't decline that much or if not more than people expected. Why was that so? Can you pass out anything working in favor of gross margins, even though seemingly lower gross margin channel grew in proportion? Thank you.
Sandra Dembeck: Thanks, Nicolas. So on current trading, yes, I mentioned that Q2 started slower. And basically -- what we saw is that we saw a step-down in April top line performance, compared to what we saw in Q1. And looking ahead, there is no real improvement in sight in terms of the macro situation. The other inflationary pressures continue, we just saw the GDP numbers coming out. So therefore, for us, we believe that Q2 will -- demand will remain muted -- and therefore, we stay focused on delivering improved profitability versus last year, similar as we did in Q1. Talking about other trends like weather, et cetera, I think it's not really what anything that I would want to read anything into at this moment in time, yes. And then the balance of growth, yes. So we see, at the moment, a bit of a channel shift, which is actually good news for us because it shows the benefit of our business, having the mix between the Fashion Store and the Offprice channel. And it's also a very positive signal to a degree because when we look into our active customer base, some of them are really now those that are using both propositions or fashion offers, they're really increasing their spend in the Offprice channel, which all in all is good to see that we have customers utilize our multi-proposition. On gross margin, the difference in gross margin between the two channels isn't that different, yes. So therefore, it's not having a massive impact on the gross margin.
Operator: The next question is from the line of Emily Johnson from Barclays. Please go ahead.
Emily Johnson: Hi, I'll stick to the two questions. The first is just to, I guess, get a bit more color on Q2 trading. So in terms of to being lower than Q1 on GMV, could it go below the full-year corridor of 1% to 7% GMV growth? And are you able to be any more specific on what kind of range of improving profitability versus last year means? And then the second question is on your active customer growth, which was wrapped quarter-on-quarter for the first time. How should we think about that evolving over the course of the rest of the year and into 2024, and particularly given it's a 12-month rolling number? And so I guess the concern is that if there are no new market launches. Could that go into decline? Any color on those two questions would be very helpful. Thank you.
Sandra Dembeck: On current trading, so yes, as I said earlier, we saw a step-down in April. And the step-down is versus the Q1 growth number that we said. And it's too early to tell what the growth in Q2 now will really result into, yes. So we still have May, June ahead of us. Those are 2 important months. And so I wouldn't want to comment now on where we actually will land on growth in Q2. On profitability, here we have more certainty. And I think what is important here for Q2 now, we continue the great efforts on fulfillment as well as marketing. But in addition also, we will now see the shift in our focus towards gross margin improvement. So while I cannot promise you gross margin improvement in Q2 at this very moment in time. What I can tell you is that given our good inventory position, we no longer need to worry about overstock clearance. And therefore, the magnitude of the profitability improvement that we foresee for Q2 will be in the similar range of what we saw in Q1.
Operator: The next question is from the line of Adam Cochrane from Dodge Bank.
Patrick Kofler: Hang on. There's a second question we're missing. Adam, can you go back into the queue, so we're going to answer the active customer question.
Adam Cochrane: Okay.
Sandra Dembeck: The second question on active customer. So a couple of things. First of all, I think we need to reflects on the fact that we were able to maintain the same active customer base than what we had in the fourth quarter. So over the past three years, we increased our active customer base by roughly 20 million. So the number that we -- of customers we acquired throughout the peak and the situation that we're in now, we were able to maintain that. So that's actually showing a lot of resilience in our active customer base. The second effect we are having is that we are moving -- we're focusing on profitable growth. And what that means is that we are optimizing for customer lifetime value. And with that, we want to reduce the number of onetime customers. We want to make sure the customers who we acquire, has the potential to become loyal customer. And therefore, I think while the number is flat quarter-on-quarter, it is a healthier number than it would be if we would chase growth. Looking into how this trend now impacts growth going forward. Here, very clearly, when the opportunity arises, we will capture that growth. We will acquire those additional customers. It's just at the moment, the demand is very muted. So new customer acquisition is very limited. But going forward, as and when demand returns, also new customer acquisition will go up further. The second aspect is supported -- growth is not just supported by new customer acquisition or active customer base. It is also a question around deepening customer relationships. And you saw from the numbers here, our GMV, active customer is flat. And when we look a little bit further underneath the hood and look into the KPIs that drive the deeper customer relationship, we actually see positive progress. Talking about the Plus program, talking about more and more multi-proposition adoption, et cetera, et cetera. So in that respect, we are very confident that we can support the future growth with the active customer base we have. And new customer acquisition will return as and when demand returns.
Patrick Kofler: Wonderful. Now, Adam, it's your turn.
Adam Cochrane: Hey, thanks. And couple of questions, please. In terms of your fulfillment cost reductions year-over-year, so coming to the tune of EUR55 million. How much of that is a structural change in cost saving compared to a volume-related cost savings due to shipping a fewer number of units in the period? And then secondly, in terms of the inventory position, your Offprice sales are up 30% or so in the period. Of your inventory position, how much of your inventory relates to Offprice compared to Fashion Store? And you said that what is the Fashion Store inventory number looking like year-over-year? You said that there's no problems there. But one thing that's happened in the past is that inventory has been transferred from Fashion Store to the Offprice business. So does your Fashion Store inventory number look okay because you've transferred it to Offprice. So question is, how much is your Offprice inventory up year-over-year? And how much of that has come from a transfer from Fashion Store? Thanks.
Sandra Dembeck: First of all, on the fulfillment cost reduction. I think that makes sense to go back to our March announcement where we said the -- on a full year base, the fulfillment cost ratio that we have achieved now is one that we see sustainable going forward. And so now looking into Q1 and reflecting seasonality effect, I think what we see here is that we have been very successful in maintaining that level of fulfillment cost efficiencies. And with that, it is not a question now of lower volumes or short-term gains. It is really a question of having successfully improved our fulfillment cost ratio in a way that it is sustainable. And why last year, this was a lot going towards offsetting overcapacity this year and -- less favorable order economics. This year, it goes a lot against again, offsetting a bit of overcapacity, but primarily offsetting inflationary cost increases. And to me, this really shows strength in our business that show strength on the cost line. The second question around the inventory position. Two comments on that one. First of all, when I say the Fashion Store inventory is down year-on-year. This includes any stock we would transfer to our Offprice channel. So this is not -- this is not a [indiscernible] number. So this is the real Fashion Store stock as we inbounded it. With that, I think we can be really proud of having achieved that always book ratios are at pre-COVID level. Wholesale buys are in line with the revenue -- the growth forecast that we have. So the Fashion Store inventory position is a very good position. And the share of Offprice and Fashion Store, we don't really disclose to that respect. But you can believe me in the way we measure it is basically the month turn, the stock turn that we see. And why that is elevated a little bit now in Offprice because we bought the extra stock in Q4, we also see how it is nicely now reducing as we are churning through the stock that we bought, yes.
Operator: The next question is from the line of Georgina Johanan from JPMorgan. Please go ahead.
Georgina Johanan: Hi, thanks you. And I've got two questions as well, please. First of all, just a clarification, following up on an earlier question. Am I right in understanding that you said the magnitude of the improvement in profitability seen in Q1 should be similar in Q2 -- are you're looking for a close to 5% margin in Q2? That was my first question, please. And then second of all, I guess, just coming back to this point on future growth and confidence in reaccelerating growth next year. I guess I remain a little bit confused about what would drive that because presumably, kind of you're rationalizing your SKU count, for example, I think there was an announcement on that a few weeks back. You're clearly being much more measured in fulfillment costs. And so presumably, that relates to more order bundling and therefore, slower deliveries for consumers and so on. No new market growth. So what are actually the levers that you are pulling to gain wallet share of those existing profitable customer, please? Thank you.
Sandra Dembeck: Thank you. So, first of all talking about the magnitude of the profitability improvement in Q2. So when I said we will see similar improvement in the profitability than what we saw in Q1, I meant the euro million amount. And just to put that into perspective, we delivered EUR185 million last year. You know where the consensus is at the moment. So of course, we need to front load the profitability improvement into the first-half, because in the second-half of last year, we were already very efficient in driving efficiencies on the fulfillment and the marketing cost line. And then talking about the reacceleration of growth and what gives us the confidence in it. So -- when we show the opportunity that we have, we talked about two things. We talked about further penetration and we talked about deeper customer relationships. And on the further penetration, we showed the numbers around -- well, in our top markets, we have 23% penetration in our -- in many of the others, we are on average at 10%. In order to better penetrate those markets, we are working hard at this moment in time to really localize our offering. And that means, introducing more local assortment, focusing more on local convenience, local payment methods, et cetera. And this will help us, one, of course, to deepen relations, but it will also help us to better penetrate those markets and help the new customer acquisition as and when the demand in those markets return. On the deepening the customer relationships, here, we are working hard on multi-proposition adoption. For example, beauty offer is now live in full in 10 markets. So that's a great platform to grow from. Our Lounge business just did a relaunch and that was not just a rebranding. It also enhanced the digital customer -- the on-site customer experience. And so there's a lot happening in order to really boost the multi-proposition adoption. And at the same time, we are continuing to work on Plus. Plus membership, we will be rolling out in further markets this year, and we're continuing the efforts around curative product drops to really drive engagement with the customers. So with that, we're really confident that as and when the demand returns, we are well prepared to capture it.
Operator: The next question is from the line of Anne Critchlow from Societe General. Please go ahead.
Anne Critchlow: Good morning and thanks for taking my questions. I've got two, please. The first one is on the first quarter gross margin. Would it be possible to strip out for us the clearance impact on gross margin for us to get the feel for it? And then secondly, I just noticed that you restated the DACH and Rest of Europe figures in the segmental split for the first quarter last year and the full-year last year. Could you just let us know why you did that, please? Thank you.
Sandra Dembeck: So on the gross margin. So -- gross margin is down by 80 bps. And the Partner Business still remains margin accretive. So if you would go back to the waterfall we showed at the fourth quarter, it is a similar dynamic. So the clearance is more than the 80 bps that you see and is offset by the margin accretive platform Partner Business. On the restatement. So the reason why we did the restatement is for simplification. In the past, we reported as external revenues Fashion Store, the internal stock transfer from Fashion Store to Lounge, as well as any services. And so we no longer are doing that. We're rather now netting it off and this is simplifying things. But of course, this had an impact on the numbers that we are reporting. It is worth roughly EUR100 million last year. So the Fashion Store this year reported minus 3.5% revenue growth. In the old model, it would have been a minus 0.9%. And talking about the DACH region, Here, again, the differential would -- is about 2 percentage points. So we say like minus 5.2%. In the old model, it would have been minus 3.6%.
Operator: The next question is from the line of Jurgen Kolb from Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Yes, thank you and good morning. A combination question really. The Offprice channel, obviously, a very strong performance in Q1, probably still triggered by excess inventories from the brand. So you're probably benefiting from that as you've already mentioned in Q4 and you bought merchandise. Would it be fair to assume that this growth or this ability to buy into excellent interest from the brands will probably disappear throughout the year. And then at the same time, we saw that your total orders placed declined by 2.2% year-on-year in Q1, despite of a stronger business in Offprice. So the question is really, how can you drive orders placed being up again or the other way around? Or do you have to focus more now on the average basket size than you may be initially expected? I see here a basket size up 2%. So that was already a positive performance. But maybe do you have to do a little bit more here in order to get to your full year GMV for 2023 -- so from that angle. Thank you.
Sandra Dembeck: So first of all, talking about the ability for Offprice to purchase stock in 2023. So the reason why we went after the stock in the fourth quarter was because it was in-season stock, good quality stock that we could get at a very reasonable price. We were foreseeing that brands would be more cautious in their buy for this winter ‘23 period. And therefore, we do, as you already pointed out, we do foresee that there will be less stock available in the market. At the same time also, because we have reduced our wholesale buy, our Fashion Store buy to our top line guidance. There won't be as many -- there won't be as much transfer from Fashion Store into the Lounge business, yes. And with that -- we're also very confident that the stock that we bought in Q4, given how fresh it is, we will successfully churn through at the end -- by the end of this year. In regards to the second question, so we -- the average basket size is up. There's two drivers behind that. So average item value is up, Offprice business has a higher average item value than the Fashion Store. And then, of course, we also see some inflation coming through. The less orders are, to a larger degree, also impacted by our drive for profitable growth. So we have to be conscious about the fact that we did introduce MOV. So we are really leveraging the customer experience. We're trying to have less one-off or onetime customer that we want to focus on creating better customer lifetime value. And therefore, for us, this is a little bit the result also of the decisions that we took, and we took those decisions consciously to improve the underlying quality of the customer base, as well as the -- our profitability.
Operator: The next question is from the line of Simon Irwin from Credit Suisse. Please go ahead.
Simon Irwin: Good morning, everyone. Just two quick ones. You put out an announcement last night about automation. Without going into kind of all of the detail, can you just give us the kind of broader picture around warehouse automation as to how much further you think there is to go and what the impact should be on the cost of running DCs versus increased capital cost? And secondly, can you give us an update on Beauty?
Sandra Dembeck: I think on automization in general, of course, our ambition is to continue step-by-step the automization in our warehouses. And this is just another step on this journey. And as you rightly say, ultimately, it reduces the OpEx and initially, it is a bit more expensive on the CapEx side. But again, this is all in line with the network build-out that we always had planned. So it's not necessarily a new strategic direction, I would call it just part of our journey, and it's the next step. You may have also read some -- you may have also read the Wall Street Journal article around generative AI and how we, as a business, are applying artificial intelligence also in our warehouses, and with that really also improving efficiencies and processes. In regards to Beauty. Beauty continues its double-digit growth. I think on Beauty, it's more around where are we. So the Sephora deal is working really well in Germany. We launched it in Italy last year. So that's progressing very well and it's fueling the growth in those two countries. And then we have been able to go live with dangerous goods in the remaining markets that we offer Beauty in. So we have the full beauty assortment now live in 10 of our markets. And we're continuing to onboard more and more brands because, as you know, like beauty is a business that requires a lot of brands. And so we successfully onboarding month-by-month, quarter-by-quarter, more and more beauty brands.
Operator: The last question is from the line of Anubhav Malhotra from Liberum. Please go ahead.
Anubhav Malhotra: Hi, I just had one on your multichannel fulfillment -- operations. Can you give some color on the current side of the business and any major clients that you have signed up there? And maybe some color on how much interest you are seeing from clients -- and what potential impact this could have on your fulfillment cost ratio in the longer term? Thank you.
Sandra Dembeck: So our pilot with multichannel fulfilment is going really well. So we have six partners life now, one of them being Pepe Jeans. The feedback from the clients is very positive. I mean -- these are the clients that are live now, where we're shipping thousands of parcels, but also we need to consider the clients that we are talking to in order to have them join the service. And the feedback we received there is that they're interested in it for various reasons. One is internationalization. So it's complementing their own warehouse strategy, helping them to get into markets they are not in yet. The other one is simply stock pooling, trying -- inventory is a problem across the industry. And so it's an interesting conversation to have with them around how can you have more efficient stock management. And the third one is simply also to elevate service levels. Some of them are not happy with their current service level, and they see the opportunity to actually improve the customer satisfaction and service level with our multichannel proposition. So with that now, we are working on the product market fit at the moment, six customers are live. And I think in terms of the profitability of it, we mentioned that at the full-year, ultimately, the ambition is for this business to be margin accretive and with that to really be within the long-term profitability corridor that we have issued.
Operator: So this concludes our Q&A session, and I hand back to Patrick.
Patrick Kofler: Yes. Thanks, everyone, for joining today's session. I think as I said, I think we've delivered a solid quarter. If there are any questions still open, do not hesitate to contact us. Otherwise, we see each other sooner or later on virtual or personal meetings. Bye. Have a great day.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you very much for joining, and have a pleasant day. Goodbye.